Operator: Hello, and thank you for standing by. This time, I'd like to welcome everyone to Ternium First Quarter 2024 Results Conference Call. [Operator Instructions]
 I would now like to turn the conference call over to Sebastian Marti. Please go ahead. 
Sebastián Martí: Good morning, and thank you for joining us today. My name is Sebastian Marti, and I am Ternium's Global IR and Compliance Senior Director. Ternium released yesterday its financial results for the first quarter of 2024. This call is complementary to that presentation. Joining me today are Ternium's Chief Executive Officer, Maximo Vedoya; and the company's Chief Financial Officer, Pablo Brizzio, who will discuss Ternium's business environment and performance. At the conclusion of our prepared remarks, there will be a Q&A session.
 Before we begin, I would like to remind you that this conference call contain forward-looking information and that actual results may vary from both expressed or implied. Factors that will affect results are contained in our filings with the Securities and Exchange Commission and on Page 2 in today's webcast presentation. You will also find any reference to non-IFRS financial measures reconciled to the most directly comparable IFRS measures in the press release issued yesterday.
 With that, I'll turn the call over to Mr. Vedoya. 
Maximo Vedoya: Thank you so Sebastian, good morning to everyone and thank you very much for participating in today's call. Ternium began 2024 with strong performance and a healthy cash flow generation. We delivered good results across all regions despite some macroeconomic challenges in some of them as we will discuss later on. Our adjusted EBITDA margin reached a recurring level of 17% driven by higher steel crisis and cost efficiency. We also continue showing a strong financial position increasing our net cash to $2 billion as of the end of March. 
 Our operation in Mexico, our main market, continue to show a positive performance, nearshoring in North America is intensifying as more manufacturing capacity, relocate or expand in the region, driven by advantage of geographical proximity, lower logistic costs and shorter lead times. The strength, in particular, [ in favor ] for our company as we have a strong presence and a diversified product portfolio in this market.
 Demand from the industrial sector grew in the first quarter compared to both the previous quarter, the previous quarter and the same period last year. The auto industry looks especially healthy with good production levels and expectations of reaching 4 million units in 2024, which would be a new record. On the other hand, the home appliances and electric motor industries face some demand headwinds. Finally, the commercial market is resuming activity after re-stocking phase in the first quarter, triggered by a downturn in steel benchmark prices in North America. Due to these positive trends, we are expecting to see a sequential increase in shipments in the second quarter of the year.
 Another positive development is a recent implementation of a new import tariff by the Mexican government to prevent unfair competition in the local market. Over 500 products across various industries [ adapt to ] duties ranging from 20% to 35%. These tariff target imports from country that have no trade agreement with Mexico such as China, and aim to level the playing field for local producer. I believe this is an important development that sets a positive example to other countries in the region.
 Moving to Brazil. Steel consumption started 2024 on a positive note, showing a slight improvement over the previous year. The construction sector is slowly picking up, driven by lower interest rates, improved consumer confidence and infrastructure project. In the auto industry, the latest production forecast point to a 6% increase in this year. With a medium-term view, this should benefit Usiminas' activity as it is the largest supplier of steel to the automotive industry in Brazil. Usiminas has a competitive edge in terms of quality, service and logistics as it operates 2 mill strategically located in the southern region of Brazil, close to the main auto clusters.
 On the other hand, the Brazilian steel industry faces a significant challenge from the search of import in its steel market under unfair trade conditions increasing by 16% in the first quarter compared to last year. Most of these inputs are coming from China. To address this challenge, Brazil's executive management committee recently decided to raise import tariffs to 35% for several steel products that support a certain quota level. This is suspected to take effect in 30 days, once officially published and to be valid for 12 months. This measure is perhaps less comprehensive than what other countries in the region have implemented, but we consider it is a first step in the right direction.
 Together with our [indiscernible] domestic market, Usiminas has been focused or restoring its operational efficiency following the restart of its main blast furnace in the last quarter of 2023. This furnace is now operating and at the expected level for this stage, resulting in lower steel production costs than in the previous quarters.
 Despite the challenges that Usiminas faces, it is determined to improve its operation efficiency by applying benchmarking and implementing best practice in various areas across the company. Usiminas' new management has shown remarkable leadership and competence since they took office less than a year ago. However, we must be realistic and acknowledge that this is a gradual process. I am confident that Usiminas will achieve its goal and overcome its difficulties.
 Usiminas has also announced a decarbonisation goal, which is to reduce Scope 1 and 2 emissions intensity rate by 15% by 2030, relative to 2019 baseline following the World Steel methodology. This goal reflects its commitment to global effort to mitigate climate change and to the sustainable development of the steel industry. During 2024, we will work on formulating a consolidated decarbonisation road map with Usiminas.
 Turning now to Argentina. Shipments declined sharply in the first quarter, reflecting the negative short term impact of the government's economic stabilization measures on the construction and industrial sectors. Argentina's medium-term outlook still remain uncertain, but we anticipate a rather recovery is steel shipment as the economy adjust to the new policy framework and inflation moderates.
 In the second quarter, we expect the agribusiness and the energy and mining sector to lead these recovery. We remain confident in the long-term potential of Argentina, a country that has abundant natural resources, a diversified industrial base and a highly skilled workforce. If the common succeed in stabilizing the macroeconomic situation and deregulating the economy, Argentina will offer many opportunities for growth and development in various sectors that are relevant for our operation.
 Before I conclude my remarks, I would like to highlight some key aspects of our strategy and performance that will shape our future in the next few years. A crucial part of our strategic plan is to deliver our upstream and downstream projects at our industrial center in Pesqueria on time and within budget. We are making good progress in building a significant increase in value-added capacity from pickling line -- from pickling to galvanizing and customizing. The first stage of this project will come to function in 2024 with a pickling line and the first line in our [ customized ] process in the second half of the year.
 Moreover, the new slab making mill will complement an integration process that was started more than a decade ago with the construction of the cold wall and galvanized line at Pesqueria, our first greenfield facility in Mexico. The new facility will be capable of producing the whole range of automotive grade steel with the lowest carbon emission level in the Americas. These projects are vital for our long term success in the region as they will allow us to benefit from the nearshoring of manufacturing capacity, advance our CO2 emissions road map and reinforce our strong competitive position to replace imports in the Mexican steel mark.
 Another key aspect or key element of our strategy for the coming years is to unlock the full potential for Usiminas. We believe that Usiminas has a great opportunity to enhance its profitability in the long run. It will require a steady and consistent effort, and we will stand by Usiminas management to help them achieve this goal.
 Okay, Pablo, please give us an overview of Ternium performance in the first quarter. 
Pablo Brizzio: Thanks, Maximo, and good morning to everyone. Before we start, I'd like to let you know that Ternium has redefined its operational segments to reflect the integration of Usiminas' operations. The new segments are steel and mining. The steel segment includes the sale of steel and other product. Meanwhile, the mining segment includes the sales of iron ore produced both in Brazil and in Mexico.
 Now let's review our company's operational and financial results on the webcast presentation for a more detailed picture of our performance. Let's begin with Page #3. Ternium has demonstrated robust performance during the first quarter of this year, marked by the ramp in margins and sustained higher steel sales volume. Adjusted EBITDA for the first quarter was $855 million, up 31% from the prior quarter, representing a higher adjusted EBITDA margin that reached 17%.
 This positive operating performance was a result of improved pricing, reduced costs and [ $56 million ] gain related to a readjusted of electricity transmission cost in Mexico. Looking forward to the second quarter of this year, Ternium anticipates a decline in the recurring adjusted EBITDA. This is mainly due to a decrease in EBITDA margin, partially offset by increased shipments. The decrease in EBITDA margin results mainly from an expected decline in revenue per ton within the steel segment across most of Ternium's market.
 Moving on to results. Both net income and earnings per ADS demonstrated significant strength during the first quarter due to a strong operating performance, partially offset by losses associated with FX results at the divestment of certain Argentine dollar bonds holdings. We will go deeper into these results later in the presentation.
 Let's shift our focus to the performance of our Steel segment. On Page 4, in Mexico, Ternium's steel shipments remained strong during the period. Volume experienced slight decrease sequentially. This decline is attributed to a transitory destocking in Mexico commercial steel market. However, it was largely mitigated by a strong demand from industrial customers. Looking forward, Ternium's steel shipments in Mexico are expected to increase in the second quarter.
 The shipments in Brazil were steady sequentially. The year-over-year increase reflects the consolidation of Usiminas' from the third quarter of last year. In the Southern region, shipments experienced a significant decline in the first quarter of 2024 attributed to the reduced activity level of Argentina and in destocking process in the steel value chain due to the negative short-term effects of the government economic stabilization measures. The outlook for Argentina remain uncertain, yet Ternium anticipate a gradual recovery in local shipments starting in the second quarter of this year.
 Let's now zoom in the steel segment profitability on the next page. Focusing on the upper left chart, steel products sales decreased in the first quarter, mainly as a result of the lower shipments as steel revenue per ton saw a slight sequential increase of 2%. In Mexico, realized steel prices increased by 8%, reflecting the [ lag effect ] of industrial contract prices at higher levels. On the other hand, weak market conditions in Argentina led to a 6% sequential decline in realized steel price in the Southern region. Looking ahead, we expect lower realized steel prices in the upcoming quarter, with decreases in most of new markets.
 In the top right chart, we have included 2 measures of profitability of steel segment. Cash operating income per tonne and cash operating income margin. Cash operating income equals operating income adjusted to exclude depreciation and amortization as well as other certain noncash items. You can find a detailed reconciliation of these non-GAAP measures at the end of the quarter result press release issued yesterday.
 Cash operating income per ton and margins for the steel segment were strong in the first quarter. This was driven by lower cost of purchased slice, slabs and raw material along with improved operating efficiencies at Usiminas steel facilities in Ipatinga. Furthermore, the previously mentioned gain related to a readjustment of electricity transmission charges in Mexico had a positive impact on the cost of sales for [indiscernible].
 Now let's turn our attention to Page 6 where we will be examining the performance of the mining segment. In the top left chart, we observed that net sales for the mining segment decreased sequentially as a consequence of reduced shipments and lower iron ore prices during the period. This was primary due to decreased iron ore production levels in Brazil as anticipated.
 Regarding profitability, the mining segment cash operating income per ton and margin in the first quarter showed attractive levels, although they were lower sequentially, mainly due a decrease in revenue per ton.
 Now let's go to the adjusted EBITDA and net income on Page 7. As previously commented in the top chart, the main drivers behind the sequential increase in adjusted EBITDA were a significant reduction in steel cost, an increase in steel revenue per ton and the gain related to the readjustment of the electricity already mentioned. These were partially offset by a lower contribution from the mining segment.
 The chart at the bottom, net income in the first quarter reflected a sequential increase in operating income, foreign exchange losses due to a fluctuation of the Mexican peso and the Brazilian real compared to FX gains in the prior quarter and better deferred tax results, which caused an unusual low effective tax rate in this quarter.
 Now let's move on to the next slide to assess our cash flow performance. Cash flow from operations was healthy despite the $256 million increase in working capital related to an increase in inventories and in trade and other receivables during the first quarter. Capital expenditure increased sequentially in the first quarter, primarily due to the completion of the relining of the main blast furnace in Ipatinga, Brazil and a reduction in the advance payment to equipment manufacturers related to the construction of the new facility at the industrial center in Pesqueria.
 Finally, we continue to have a very solid financial position with net cash that saw a slight increase in the quarter, mainly related to a valuation of Ternium Argentine Holdings of Argentine sovereign bonds.
 Okay. With this, we have finished with our prepared remarks. Thank you very much for your attention and time, and now we can open to any questions that you may have. Operator, please let's begin with the Q&A session. 
Operator: [Operator Instructions] Your first question comes from the line of Carlos De Alba. 
Carlos de Alba: The first question is just a clarification on the $56 million gain related to the readjustment of electricity transmission charges in Mexico. And maybe, I don't know, Pablo, Maximo, can you provide some color? Is this something that you overpaid in the past or you pay more than what you should have and now it's just being reversed back and therefore, you kept it as a sort of an operational item in your reports? 
Pablo Brizzio: Basically, this was a change of the authorities in Mexico introduced some years ago, but we have -- of course, we did not agree with. We have a provision on that. And then we went to court in order to challenge that. And finally, we were successful in that. And it's final by now. So we have reversed 100% of the provision that we have, and this should not be included anymore in our numbers. 
Carlos de Alba: All right. Okay. That's clear. And then on Argentina, 2 questions. One is, I heard that you said that you expect a gradual recovery in volumes. There was a very sharp decline quarter-on-quarter in the first quarter. So can you maybe provide a little bit more color as to how to interpret a gradual recovery? And the other part of the question is on the Argentine bond holdings that the company still has. You sold some in the first quarter, but you highlighted in the release that there is still around $240 million on negative comprehensive income in connection to the bonds that you still hold. What is the expectation there? Are you planning on potentially selling those bonds? Or what is the idea? 
Maximo Vedoya: I will take the first one. Argentina -- I mean, there is still a lot of uncertainty in Argentina. So I don't want to give you an exact number and whatever number. You have to know that it can change because of the situation. But as I said in my initial remarks, we think that the path is correct and Argentina is doing what is necessary to do.
 The fourth quarter, as you saw in the graphic, was a huge decline. I think it was more a 40% decline. If I have to say a number of the second quarter will be a decline about 20% of the year before, not of this quarter, and that should give us an increase of 25% or something like that quarter against quarter. So those are the numbers we are seeing today. So there is a recovery, and that is a number we expect, but it shouldn't be a fixed number, as you know, develops in Argentina usually accrue very quickly. I hope I answered the question with that. 
Carlos de Alba: That was very clear. Thank you very much, and we will not call you to it. 
Maximo Vedoya: Pablo, the second one? 
Pablo Brizzio: Okay. It's quite a complex explain, but let me try to be as simple as possible. What we had during the first quarter was that the company is selling all the bonds that we received as a dividend payment from Argentina into the holding company and all the bonds that the government put in place in order to pay suppliers that were not paid by the former government but occurred during the first quarter. So at this point, we needed to reflect the loss that the value of these bonds that have a nominal value and then a real value in dollars going through the financial results of the company.
 These results were already in the reserves. So at a balance sheet level, there was no change, but this needs to be moved from that reserve to the financial results.
 On the other side, we have finalized with this. So you will see not any other impact of this in the coming quarter. This was not related to the holdings that we have in Argentina as cash in hand. This was related to bonds that the government issued to pay back suppliers and bonds that we have related to the dividend paid last year from Argentina. So it was a significant impact during the quarter, but it is finalized. So no impact in relationship to that will be seen in the coming quarters. I don't know if I've been clear because as I said, it's not an easy issue to explain. 
Carlos de Alba: No, that's clear, I think. So you still then have a loss position in the bonds that you still hold of around $240 million, and it's already recorded in the comprehensive income, right? 
Pablo Brizzio: Exactly. That's in comprehensive income. And as you have seen, that reserve was reduced from $400 million or $450 million to $250 million, and that will depend on the valuation of the bonds that we have in hand. So if there is a further revaluation of the bonds, that reserve will be reduced. But again, these reserve will not be reflected or the movement of the reserve will not be reflected in the financial results up to the moment that we had to do something with that bond. 
Operator: Our next question comes from the line of Caio Ribeiro from Bank of America. 
Caio Ribeiro: So my first question is on the recently announced quotas, import tariffs for steel products in Brazil. And I know that you commented on that in your initial remarks, but I just wanted to explore it a bit further, and whether you think that the measures that were already announced are sufficient enough to quell the pressure from imports that we've been seeing over the past year, and perhaps also generate an opportunity for price hikes to recompose profitability in Brazil in the short term, so over the next few months. So how do you see that playing out?
 And then secondly, you mentioned in your press release, right, that there was an unexpected outage at one of your blast furnaces in Brazil. So I just wanted to see if you can share some more details on that, what the timing is on resolving this issue and whether you can share any expected impacts on costs as well. 
Maximo Vedoya: I'll take both questions. The announcement of the measures in Brazil, as I said in my initial remarks, I think that the measurements are first step in the right direction. Will these measures be enough to combat unfair trade practices mainly from China? I am not sure. I think that a little bit more is needed.
 I mean, as you know, I don't have the exact description of how this is going to be implemented. As you know, it was made public in a conference call, but I don't have yet the details of how it's going to be implemented. But as I saw it, the numbers or the quota that is allowed to be imported in some of the products, it's still an important quota. So I don't know if it's going to have an impact in prices.
 But again, as I said, I think it's a good first step. And we should continue working as other governments are working. I know these measures are being made in the U.S., in Mexico, in Europe, in Turkey, a lot of countries have taken these measurements because of what is happening in China. As you realized last month was one of the highest exports of the history of China in steel products, more than 10 million tonnes in one single month. So China, it's dumping, it's still everywhere now. And most of the countries are shutting down that unfair trade imports. So it's not enough, but it's a good first step. I hope I answered that question with this, the first question on Caio.
 The blast furnace #1 in Ternium Brazil facility in Rio experienced, what do you say, a temporary disruption due to some unexpected outage in the last days of the first quarter. I think it was in the 28 or 29 of March. And we are now -- the blast furnace is now undergoing a restart process. So there's a huge -- when a blast furnace colds a little bit, you have a long process for the storage -- or the restart process, and we are now in that restart process.
 Having known the problem, we already purchased enough slabs to comply with all our commitment with the customers. We don't expect any noticeable impact on our shipment. Also, we have already purchased all the slabs we need. So we don't expect any main impact on shipments. 
Operator: Our next question comes from the line of Timna Tanners. 
Timna Tanners: I wanted to probe the guidance commentary a bit more. So you talked about lower prices in most markets. What market might not be seeing lower prices? And then you talked about EBITDA and EBITDA margins, but can we talk about costs a bit more? And specifically, when you might see the benefit of some declines in coking coal prices? 
Maximo Vedoya: Yes, I mean, in all markets, we are seeing a little bit of lower prices, not exactly in Brazil, but it depends on the exchange rate. That will depend a little bit on the exchange rate when you see it in dollar terms. What we are going to see in Mexico is that you will have a lower price in the contract sales because of the lack every quarter we have. But prices in the commercial market are increasing right now. So it's a mix between a lower price because of the contract and an increase in prices that we are seeing in our shipments to the commercial market. Overall, the price will probably be a little lower than the ones in this quarter. 
Pablo Brizzio: Okay. If you want to, Timna, going to the cost side of the equation, what we are expecting to see is sustained level of cost because there was a mixture of different things. We are going to reflect, as usual, the price of slabs that we bought a couple of quarters ago. And then we have not yet seen any decline in the price of that raw material. There is also a change in the cost of the iron ore, that is more immediate to see that impact in our numbers.
 The increased profitability in the Usiminas numbers or the Usiminas production will be also be reflected during next quarter and the following. As Maximo was explaining that the performance of the blast furnace #3 after the relining is starting to get up to the expected levels. Though as Usiminas presented the numbers yesterday, you will have the impact of the increased price of blast purchasing the market that will be impacting during the second quarter.
 So all in all, it's why we are expecting to see a relatively stable level of cost for next quarter. 
Timna Tanners: Okay. And coking coal, it sounds like it takes a while to flow through then? 
Pablo Brizzio: Well, yes, exactly. It's something that we are buying for our operation in Brazil, and it takes a little while for it to be reflected in our cost [ structure ]. 
Timna Tanners: Okay. And then I wanted to ask a little bit about the cadence of ramp-up. If you could remind us on Pesqueria. You have the galvanizing lines and you also then, of course, have the DRI-EAF complex. So if you could remind us about the timing and also any update on project costs given that we've seen some broad inflation across many of these types of projects, how are you tracking there? 
Maximo Vedoya: Yes, Timna. Cost, we don't have any update besides the one we gave the last quarter where we increased a little bit, but we are seeing that the cost will be [ Dearborn ]. I think it was $3.4 billion, the total cost of all the Pesqueria 3, as we call it, project. Regarding timing, the first line that is coming online, it's coming in July with a ramp-up curve. Of course, it's the pickling line. And then the customers' lines are starting one also in July. And going forward, the other 4, 2 months each one. So by the end of the year, we will have the 5 lines of the customers' lines working.
 Then we have the galvanized line, the galvanize 2, as we call it, that it's going to start by the end of 2025. The cold rolling line, the PLTCM 2, as we call it, that is going to start in March of 2026. And then we have the EAF-DRI facility that is going to start, we are appointed to the middle of 2026. 
Timna Tanners: Okay. Massimo, just to clarify, what do you mean by a customized line? I'm just not familiar with that term. 
Maximo Vedoya: Line for finishing products, I mean, to finish cold-rolled, cold-rolled and galvanized products and to serve the customers directly. 
Operator: Our next question comes from the line of [ Henrique Marques 0:35:36]. 
Unknown Analyst: First question regarding capital allocation. We're seeing Ternium delivering strong results. Should we expect an increase in dividends? And also, I understand you're going through an investment cycle. But just, do you guys have anything on the pipeline or are you thinking of any other opportunities maybe in other regions outside Mexico after this investment cycle is completed? 
Pablo Brizzio: Okay. So let me take for the question on dividends. As you know, the company has been increasing the dividend payment, we have increased this year with the result of last year to $3.3 per ADS, and that was an increase in comparison to the one that we paid last year. Though you're right that we have the financial resources in order to keep sustaining this level of dividend payment, you also need to take into consideration all the CapEx plan that we have and all the things that we need to do in our facilities.
 What we said, and I think we commented on this in the prior conference call, is that whenever we -- or the company decides to increase the dividend payment is because we understand and we have the resources to sustain at least this level. Then, of course, year after year, the Board of Directors needs to propose to the shareholders' meeting the final number. But with this new increased level of dividend, it's the one that we think that the company can sustain in the medium run. So we are not expecting a specific movement there, but at least to sustain the current level of dividend payments. 
Maximo Vedoya: And again, what was the second question again because we didn't hear very well here? 
Unknown Analyst: Sorry about that. It was just on the pipeline of next investments and other opportunities, maybe in other regions outside Mexico. 
Maximo Vedoya: Well, we are always analyzing opportunities in Mexico and outside Mexico also. Our pipeline today is very full, as you may well be aware, and so we are not seeing any particularly today. But of course, there are regions outside Mexico that are also very important to us. As we always said, our focus has been in the Americas, we are not going to go to other parts of the world. We think there is a big opportunities or good opportunities for us to continue growing, to continue implementing all the things that we are doing in this region, in the Americas. But we don't have any specific to give you today. 
Unknown Analyst: Got it. Just a quick follow-up on the last [indiscernible] question. The flattish cost outlook, is it already considering the purchase of extra slabs or… 
Maximo Vedoya: Yes. 
Unknown Analyst: Should we see some impact coming from it? 
Maximo Vedoya: No, no, it's considering the buying of slabs. 
Operator: There are no further questions at this time. So I'll turn the call back over to Ternium's CEO. 
Maximo Vedoya: Thank you. Well, we appreciate your interest in and attention to this call. Thank you very much for participating. And if you have any questions, don't doubt to ask us or call us. Have a great day, and take care. Bye-bye. 
Operator: This concludes today's conference call. You may now disconnect.